Operator: Good day and thank you for standing by. Welcome to the LegalZoom's Third Quarter 2023 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. And I would now like to hand the conference over to your speaker today, Ms. Madeleine Crane. Please go ahead.
Madeleine Crane: Thank you, operator. Hello and welcome to LegalZoom's third quarter 2023 earnings conference call. Joining me today is Dan Wernikoff, our Chief Executive Officer; and Noel Watson, our Chief Financial Officer. As a reminder, we will be making forward-looking statements on this call. These forward-looking statements can be identified by the use of words such as believe, expect, plan, anticipate, will, intend, and similar expressions and are not and should not be relied upon as a guarantee of future performance or results. Such forward-looking statements are based on management's assumptions and expectations and information available to us as of today's date. These forward-looking statements are also subject to risks and uncertainties that could cause actual results to differ materially from such statements. These risks and uncertainties are referred to in the press release we issued today and in the Risk Factors section of our most recent quarterly report on Form 10-Q filed with the Securities and Exchange Commission. Except as required by law, we do not plan to publicly update or revise any forward-looking statements, whether as a result of any new information, future events or otherwise. In addition, we will also discuss certain non-GAAP financial measures. We use non-GAAP measures in making decisions regarding our business, and we believe these measures provide helpful information to investors. These non-GAAP financial measures are not intended to be consideration in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations of all non-GAAP measures to the most directly comparable GAAP measures are set forth in the Investor Relations section of our website at investors.legalzoom.com. I will now turn the call over to Dan.
Dan Wernikoff: Good afternoon, everyone, and thanks for joining our call. I'm excited to talk about our third quarter performance. Not only was it strong financially, but more importantly, we continue to lay the foundation for long-term growth through additional product introductions. As we continue to grow our formations business, we're building out a unique ecosystem of compliance and financial products while beginning to integrate higher value experts like CPAs and attorneys directly into our application. During and subsequent to the quarter, we've expanded our ecosystem with the launch of Business Licenses, as well as the new Legal Forms experience, which we believe will be a gateway to attorney-assisted solutions. Let me begin with a brief summary of our financial results. Revenue came in at $167 million, up 8% year-over-year. Adjusted EBITDA was $34 million for the quarter, double the prior year period and reaching a 20% margin. In the third quarter, U.S. Census formations grew 12% year-over-year. LegalZoom formations for the quarter increased 17% year-over-year. As a result, our share for the quarter grew 5%. As discussed on our last call, we expected the sequential deceleration in market share growth this quarter as we exited legacy partnerships and began to lap the start of premium testing. With the transition from the partner channel, I'd like to reinforce the strength of our direct channel where we've introduced the premium lineup. LegalZoom branded LLC formations grew over 30% year-over-year. And as we said in prior calls, the economic impact of the partnership exits was not significant, which was reflected in our financial performance. Our results for the quarter demonstrate strength in our formations business within a strong macro paired with ongoing financial discipline. These results reflect our focus on becoming a product-led growth company. We're increasingly becoming the destination for small business starts. We continue to create a unique ecosystem of financial and compliance services, and we still have a big opportunity ahead of us to integrate legal and financial experts into our platform. As it relates to our progress for the quarter, I'll start with an update on our first strategic pillar, scale the business. Along with the growth in our LegalZoom formations channel, we continue to evolve the lineup to make forming of business more affordable for small businesses by driving down costs to process and fulfill orders through automation. We've made significant progress in automation and still have opportunities ahead of us. Another key factor to enable greater scale and a better experience has been our investment in building a small business profile, a capability we believe will improve customer conversion and cross-up. Compliance products can require ID verification, as well as an understanding of key attributes of the business and its ownership structure, and our products inherently capture customer behaviors through usage. Our business profile and the ability to leverage it to dynamically deliver the right offerings to the right customers through the right channel at the right time hasn't been a capability up to now, which means we often attempted to sell our products to business owners when it wasn't relevant or the business wasn't ready. We are making changes to our sales and marketing strategy to better align with our evolving customer base and enhanced targeting capabilities. Today, over half of our customers choose a basic SKU with a free formation. These customers are generally smaller and earlier in their life cycle. Through testing, we've determined that these customers are better sold through the product and lower cost channels like email, oftentimes after formation. Tax, as an example, used to be sold to all customers across all channels at the time of formations, despite many customers not requiring return in the year of formation. Going forward, we will more actively leverage LZ Books and MyLZ as vehicles for upselling from books to tax. As a result, we made the difficult decision to reduce the size of our sales organization. This change was executed with careful consideration to the customer experience. And while we may see some short-term pressure on our results during the transition, our new sales strategy will have fewer outreaches to a narrow group of high value customers, which we believe will benefit both NPS and revenue in the long-term. One final note as it relates to scaling our business. We're not dogmatically focused on share alone, but think of it as one of many inputs to accelerating growth, no different than broadening our relationship with new customers. There will be times when we make decisions that are counter to our share objectives because we've identified a new opportunity to drive incremental revenue or profit per customer. I anticipate a few of those opportunities to present themselves in Q4 as we continue to test price optimization for the subscription portion of our existing lineup, as well as introduce multiple new products in advance of our peak Q1 season. Moving to our second strategic pillar, building the ecosystem, we continue to make very strong progress. Last quarter, we launched LZ Books. This was in addition to the previous launches of LZ Tax, Virtual Mail and eSignature. And now this quarter, we are announcing the launch of Business Licenses. In just over two years, we've launched five new post-formation ecosystem offerings. Business Licenses are a natural extension to our compliance offerings. The typical small business requires several licenses or permits, oftentimes at the federal, state, county and city level. In industries such as food service, the number of licenses and permits required can reach over 20. To build this offering, we've created a proprietary database of licenses across all jurisdictions triggered not only by industry and location, but also adaptable to the nuances of specific businesses in an industry that may trigger additional regulations. Similar to how we help customers interact with the Secretary of State to keep their entity compliant we are excited to help small businesses navigate the complex and ever-changing regulatory environment with other government agencies. This launch is another example of how we can build and leverage a unique business profile to bring value to small businesses. We believe owning and integrating this experience will afford multiple future growth opportunities. We also continue to build out LZ Books. Since launching in August, we've added mileage tracking, receipt capture, bulk expense classification, and reporting all important features to drive trials into paid subscriptions. We're already seeing strong engagement metrics as measured by bank connections, invoices sent and paid and overall repeat usage. As we enter tax season, you should begin to see the power of integration into our tax ecosystem and experimentation around commercialization. While to date, we've been conservative in the rollout, focusing mainly on the experience we like what we are seeing and we'll begin to scale our marketing efforts in advance of the upcoming tax season. Our new MyLZ platform, which launched last quarter, centralizes all of our offerings in one simple experience creating a vibrant post formation ecosystem and the ability for ongoing engagement and tighter connections between our services. We are now beginning to direct all of our activities including compliance alerts, order updates, chat support, and most importantly, product engagement through this unified experience. This will be a gradual process over the coming year and represents a large untapped opportunity to build ongoing engagement. Today, an immaterial amount of revenue is derived from post formation, cross or upsell, but we know that many of our customers form before beginning to operate and their needs continue to evolve with time. Growing with our customers is critical to our long-term growth strategy. We're excited to see how active usage of LZ Books will lead to a seasonal cross-selling to LZ Tax, or how the usage of legal forms library will drive and upsell to our eSignature offering and attorney advice, or how forming your entity before operating can lead to pulling licenses and permits months later and just before a business opens their doors to the public. There are abundant opportunities to expand revenue per customer post formation. Today it is almost entirely unrealized. Turning to our third strategic pillar, integrate experts, we continue to adjust our go-to market for LZ Tax now that LZ Books is in market and as targeting capabilities come online. In parallel, we are investing in the filing experiences as we get ready to enter the 2023 tax season in early January. We feel good about this coming tax season and look forward to sharing our thoughts on the newly retooled tax business on our next earnings call.  We do have a couple updates to share today. The first being around the beta launch of Doc Assist, a free, document summarization product that uses generative AI and leverages our years of experience in the legal form space. Our belief is that the biggest opportunity in the legal space is non-consumption. 85% of our customers have never spoken to an attorney despite having set up an entity to benefit from the liability protection it affords. We believe the overwhelming majority of small businesses simply take and live with legal risk all to avoid the cost and effort required to engage an attorney. Doc Assist is designed to foster an accessible and approachable gateway to a more efficient interaction with a vetted attorney. We are in the unique position of having a strong small business brand, a software capability, and a scaled independent network of attorneys who have expertise in the specific matters where our customers have concerns and we are now beginning to stitch them together. To be clear, we're at low volume today on Doc Assist, but the most important measure in our beta is whether a user that's uploaded a legal document clicks through to get legal assistance. To date, we've been pleasantly surprised that over 40% of users that uploaded a document click through to our attorney offering. That intent is the signal we've been looking for as we consider how we both integrate Doc Assist into our core offering and how we commercialize our attorney interaction, which is different from our existing more general legal advice offering. Gen AI is an invaluable technology unlock to demystify legal documents and a new opportunity for us to more aggressively address non-consumption. Doc Assist is now there to provide insights when a document is shared with us, but we've also been working to re-imagine our legal forms offering. Earlier this week we launched a revamped legal forms library allowing users to access over 160 attorney certified forms completely free. Similar to how we've been adding new post formation software capabilities and then bringing them together through MyLZ, you will now begin to see us integrating Doc Assist and this new legal forms library into our product with the ultimate goal of revolutionizing how businesses collaborate with attorneys through legal documents. Taking a platform approach, we believe that over time we can help small businesses and consumers with a wide array of legal matters through a highly efficient and cost effective interaction with attorneys. I am excited about the progress we continue to make across each of our strategic pillars and the growth opportunities ahead of us. And I'm equally proud of the financial discipline we've demonstrated while investing aggressively in the product. That said, we're still early in the journey of demonstrating post formation monetization and the integration of high value experts. All the ingredients are now coming into place to realize these opportunities and it will be a big focus as we turn our attention towards 2024. All the progress we continue to make would not be possible without our LegalZoom employees. I would like to thank them for their hard work, innovation and overall dedication towards our mission to unleash entrepreneurship. And with that, I will turn it over to Noel to discuss our third quarter results and outlook.
Noel Watson: Thanks, Dan. And good afternoon everyone. We had a very strong third quarter. Our results outperformed our expectations and reflect our continued focus on driving revenue growth and profitability. I'll now shift to provide additional details on our results for the quarter. Please note all comparisons will be on a year-over-year basis unless otherwise stated. Total GAAP revenue in the period was $167 million up 8%. Transaction revenue was $57 million down 2%. We experienced 5% growth in transaction units offset by a reduction in average order value driven by the full rollout of our premium lineup in Q one of this year. We expect to return to year-over-year growth in transaction revenue in the fourth quarter as we continue to lap our premium rollout, which ramped significantly in Q4 of last year. We recorded 237,000 transaction units in the third quarter. The 5% increase was driven by higher business formation transactions partially offset by a decline in our consumer offerings. We completed 137,000 business formations in Q3, up 17% and led by growth in our LLC formation product. Our market share of business formations increased 5% year-over-year to 10.2%, however, declined sequentially. As signaled on prior calls, the moderation of shared growth in the quarter was primarily due to an intentional decision to exit certain channel partner relationships, a share headwind that will persist for the next few quarters, but we strongly believe the right long-term decision for our business. As we look forward to Q4, we expect a continued deceleration in market share, primarily due to the aforementioned partner exits and the lapping of an expanded premier rollout in Q4 of last year, as well as a short-term impact from the transition of our sales organization and certain product driven decisions that look to optimize for the best long-term financial outcomes. As Dan noted, given the changes in our own product offerings, the fourth quarter presents an optimum time to test and iterate on our product lineup in advance of our peak Q1 season. Average order value was $242 in third quarter, down 6% year-over-year, driven by our lower priced lineup. On a sequential basis, average order value increased 13% quarter-over-quarter due to a typical seasonal mix shift in our offerings. We expect our AOV to continue to improve on both a sequential and year-over-year basis in the fourth quarter as we lap the expanded freemium rollout. Subscription revenue was $105 million in the quarter, up 14% due to an increase in the number of subscriptions due to better than expected retention in our compliance-related subscriptions and growth in ARPU. We expect subscription revenue growth to slow sequentially in Q4, as we experienced an increased impact from changes in our LZ Tax commercialization strategy. We ended the quarter with 1.6 million subscription units, up 11% primarily due to continued growth in our compliance offerings. We expect the year-over-year growth in our subscription units to be in the mid-single digits in Q4, given, the transition of lower value subscriptions related to our legacy partner exits. We expect this transition to positively impact ARPU. ARPU came in at $265 for the quarter, up 2% year-over-year and up 2% sequentially from the second quarter. The year-over-year increase can primarily be attributed to a shift in the mix of our higher price subscription offerings. We expect the year-over-year ARPU growth in the mid-single digits in the fourth quarter. As we launch new products and continue to test and optimize our lineup, our priority remains solving for the best overall financial outcome to drive customer lifetime value. Partnership revenue was $6 million or flat year-over-year. Following the recent launch of our own business licenses offering, which shift reporting from partnership revenue to transaction, we will no longer break out partnership revenue as a standalone item beginning with the fourth quarter. It’s important to note that we maintain strong symbiotic relationships with our banking, website, insurance, and other partners where we often benefit from bilateral business promotion. The corresponding revenue from these remaining partners will be incorporated into the transaction and subscription revenue line items of our recording going forward with the majority of the contribution falling into transaction. Turning to expenses and margins where all of the following metrics are on a non-GAAP basis. Third quarter gross profit margin was 67% compared to 69% in Q3 of last year, driven by higher filing fees as a percentage of revenue. We experienced a higher level of business formation volumes as well as the reinstatement of filing fees in California, which were paused for 12 months beginning in the third quarter of 2022. Sales and marketing costs were $48 million in the third quarter or 29% of revenue and 11 point improvement from Q3 of last year. This includes a 21% reduction in customer acquisition marketing costs, which were $35 million for the quarter. We expected sequential decline in CAM spend in Q4 in line with our regular seasonal slowdown, which spend relatively flat on a year-over-year basis. Technology and development expenses were $16 million in Q3, up $3 million or 21% year-over-year. We expect similar year-over-year growth in this line in Q4 as we continue to invest in product and engineering talent. General and administrative expenses were $50 [ph] million in Q3 or near flat year-over-year. Our solid revenue results and continued focus on profitability drove stronger than expected adjusted EBITDA of $34 million for the quarter, reflecting a 20% margin. This compares to adjusted EBITDA of $17 million or an 11% margin in the third quarter of 2022. Our deferred revenue decreased $3 million from the prior quarter. During the third quarter, we repurchased 4.7 million shares of our common stock concurrent with a secondary equity offering for $9.55 per share for a total of $45 million. This exhausted our existing $150 million stock repurchase program that was authorized in March of 2022. In total, we repurchased 15.1 million shares of our common stock at an average cost of $9.92 per share under the program. To underscore our continued confidence in the business, today we are announcing that our Board of Directors has approved a new share repurchase program of up to a $100 million of our common stock with no fixed expiration. We plan to continue to opportunistically repurchase shares of our common stock as part of our balanced approach to capital allocation. As of September 30, 2023, we had cash and cash equivalents of $212 million and no debt outstanding. We’ll continue to leverage our strong balance sheet and liquidity to fund profitable growth and return value to our stockholders. In regards to capital allocation, our priorities remain unchanged. We are first focused on organic investments in the business, followed by strategic plugin acquisitions, and lastly, shareholder returns via repurchases of our common stock. We expect to exit 2023 in a strong cash position, which enables us the flexibility to execute against all three priorities simultaneously. I’ll now provide guidance for the fourth quarter and full year 2023. As always, macro conditions remain a key factor in our performance and outlook. Census business formation growth accelerated in the third quarter and has been healthy year-to-date. Our guidance includes an expectation that current macro trends continue. Based on these factors, we expect fourth quarter total revenue of $155 million to $157 million or 6% year-over-year growth at the midpoint. And fourth quarter adjusted EBITDA $28 million to $30 million or 19% of revenue at the midpoint. For the full year of 2023, we are raising and narrowing our guidance for total revenue to $657 million to $659 million or 6% year-over-year growth at the midpoint. As a result, we are also raising our full year adjusted EBITDA to a range of $114 million to $116 million or 17% of revenue at the midpoint. And with that, let’s please open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question will come from Matthew Pfau of William Blair. Your line is open.
Matthew Pfau: Hey, great. Thanks for taking my questions and nice quarter guys. Just wanted to first ask from a macro perspective, maybe some more detail on what you’re seeing there and versus last quarter? And how any key metrics such as retention, top of funnel activity, conversion, how those have trended in the third quarter versus last quarter? Thanks.
Dan Wernikoff: Yes. Thanks for the question, Matt. Yes, it remains healthy. I mean, if you look at the EIN data it’s sequentially improved each quarter, so it’s been up 4% in the first quarter, 7% in the second, and 12% in the third. We do have some questions about the extent of the strength in Q2 and Q3 as we are anticipating that some of the issues with the employee retention credit may be inflating EIN data a bit. And that’s something we saw actually back in the COVID days with the PPP loan program. We saw a slight dislocation to our own internal data. And I think that probably is occurring to some extent this year. But that said, that’s around the edges and it still remains quite strong. And what I would also say is that the long term of this macro bends very, very favorably. We continue to see large platforms increase in prominence. In general, they are actually providing strong enterprise capabilities for very small businesses and consumers. And those are gig platforms that allow a consultant to go out and create a business relatively quickly. E-commerce, which allows someone to create a retail presence and fulfillment operations, there’s just so many ways now to play. And that’s on top of other important shifts like work from home. We know most small businesses form their business while they’re working for someone else and now they’re working from home. There’s a strong demographic shift with Gen Z, even things like onshoring. So it’s very difficult to bet against this macro. There might be times where we see micro shifts that go negative, but that doesn’t concern us that much. In fact, we’re in a really strong position if that happens. And in the very long term, we expect this trend to continue. And I’d also say that we’re seeing things like retention remain pretty strong. In fact, we had a little bit of a surprise in the quarter in terms of the strength of some of our retention data. And we’re still seeing attach rates that are holding up. So all the things that we’ve talked about in freemium have sort of played out still. So the macro and the combination of our freemium lineups seem to be working.
Matthew Pfau: Great. Just a quick follow-up, that 30% growth in LZ branded business formations, how does that compare to perhaps the prior quarter? Just sort of trying to parse out the different components between the channel partnerships as well as just lap in the introduction of the free LLC product?
Dan Wernikoff: Yes. We definitely wanted to share that one time just so people could get a sense because obviously the partner channel change happened and so it kind of made the share gains look a little bit different. It slightly declined in Q3, but that’s what we would’ve expected because we’re also beginning to lapse some of our freemium testing. And also we’ve talked about this before Q2 of the prior year was when we made a marketing shift from some of our brand spend into performance spend. And so that was a weaker quarter in 2022, so it was a little bit more of a favorable compare. But yes, that if anything should show that there’s still a lot of strength as we talk about our LegalZoom channel. And again, the partner channel is sort of a deliberate choice that we’re making that actually impacts us negatively on the share side.
Matthew Pfau: Great. Thank you. Appreciate it.
Dan Wernikoff: Yes. Thanks, Matt.
Operator: Thank you. One moment please for our next question. Our next question will come from Andrew Boone of JMP Securities. Your line is open.
Andrew Boone: Thanks so much for taking my questions. I wanted to go to attach rates. The 1% sequential growth for attach rates was a low and the total number of nominal units. As we think about the 2Q to 3Q number of 15,000 was also a low recently. Can you guys just touch on any additional details you may have in terms of subscription attach rate as we think about freemium rolling through the model or maybe just anything else on retention to unpack that? Thanks so much.
Dan Wernikoff: Thanks for the question, Andrew. I'm assuming you're talking about the net subscription ads relative to formation growth?
Andrew Boone: Correct.
Dan Wernikoff: Yes. So there's a couple moving parts when we start to look at those numbers right now. And part of that has to do with us starting to exit the partner channels as well. It has a negative short-term impact on subscription units with a constant on the formation side that's it sort of doesn't overcome. So that's really more anomalous and frankly, you'll probably see that continue for a little bit because we'll start to accelerate on some of the reduction in subscription units. What you'll see offset that is a stronger ARPU, which kind of reflects the fact that they were wholesale units and they weren't all that valuable on a revenue basis. So again, that's part of that deliberate choice that we're making to get out of the partner channel.
Noel Watson: Yes, and just to add an additional specific to that, Andrew, as we get into Q4 and we see that the transition on the subscription unit side kind of take larger effect related to the partner transitions, we actually expect subscription units to be down sequentially. But to Dan's point, we see that as a – it will positively impact ARPU given the lower value economics of those units.
Andrew Boone: Thanks. And then Dan, in your prepared remarks, you talked about tests for pricing. Can you just let us know any details you may have today on how you're thinking about that?
Dan Wernikoff: Yes, I mean, we've talked a lot about the premium lineup for the bulk of this year. And one of the things that the initial lineup does is it creates a lower cost transaction associated with the initial purchase. The part that we're now circling back on is, now that we have the bulk of our customers in coming through a free SKU, do we have the right pricing on all of our subscriptions that we add on top of that initial purchase. And so there is a lot of testing going on. I mean, parts of it are on our core compliance subscriptions. Parts are still on some of those additional services that drive higher engagement post purchase as well. And I'd say that we're still not in a heavily optimized lineup. There is – if you think about launching five products over the last couple of years and then changing the core lineup, it requires a lot of testing to get to the optimal pricing across the whole purchase of the customer. And then on top of that, we also now do have this post formation opportunity that's starting to emerge, which also helps us think through what should we include in the formation funnel itself. And so think about all those variables, think about the level of volume that we have of formations that come through and that's going to be a continual journey over the next couple of quarters to make sure that we have the right lineup for all of our customers.
Andrew Boone: Thank you.
Dan Wernikoff: Yes, thanks, Andrew.
Operator: Thank you. And one moment please for our next question. Our next question will come from the line of Brent Thill of Jefferies. Your line is open.
John Byun: Hi. This is John Byun for Brent Thill. Two questions on the LZ Books. You've talked a little bit about that, but wondering how that launch is going in terms of traction, what kind of customers at what stage might be attaching that? And then second on the sales org, adjustment or transition, is there any way to kind of quantify on size up kind of the magnitude of the changes you're making there? Thank you.
Dan Wernikoff: Sure, I'll take the first one and then Noel maybe grab the second one. So books, super excited. So we've only been in the market for a couple months here. And we went into market with a great product, but also knowing that we were missing some key features. And you can get a sense of the velocity that we've almost closed the gap on all of those features within those couple months. Just to remind everybody, over 90% of the small businesses that formed through us have no accounting solution. Interestingly, they don't have the highest brand awareness of the category either. I mean, they're really looking for a solution that's custom built for them and they are truly micro businesses. The other thing that's interesting is we've talked about this, books for many people precedes the need for tax. In some cases, our customers come in and they're not really going to be filing a return for the year that they form, but at the same time, they want to get established properly on the right financial management solution. And so that's the point of launching this. We are seeing really strong engagement on things like bank connections and invoices sent and paid. We like the trial to pay conversion. And I'd say that we've been doing this at a smaller scale. So a lot of our focus when we launch a product is to make sure that the customer metrics are great and the experience metrics are great before we start to scale. You're now going to see us probably more actively marketing it to our base going forward because we're seeing that. We're getting the right signals from it.
Noel Watson: Yes, and on the sales cost question, the impact on Q4 because the transition is happening during the quarter is not that significant. And just the way we're viewing our sales channel in general is along the same lines as we think about kind of our overall performance marketing spend. So really, as we calibrate on bringing cost back into the organization, it will be on a performance basis. And so we'll provide more detail around our thoughts for 2024 impact on our next call. But the lens that we're taking and the approach that we're taking is looking at it from a performance lens and we'll scale up as long as we're seeing the right ROI on the spend. And that will be determined kind of as we grow into it.
Dan Wernikoff: And just adding to that, I think sales for us we touched all of our customers. So that wasn't the right approach as we went to free. And as you think about a sales team, a lot of what you want them to be doing is really focusing on the highest value stuff post formation. And so this is a big change to the sales organization strategy. And I do believe that we'll build it up over time as we continue to prove that we can do a better job of monetizing post formation.
John Byun: Thank you.
Dan Wernikoff: Yes, thanks, John.
Noel Watson: Thank you.
Operator: Thank you. One moment please for our next question. Our next question will come from the line of Ron Josey of Citi. Your line is open.
Unidentified Analyst: Hey guys, this is Jay Zhang [ph] for Ron. Thanks for the question. Dan, I just wanted to see if you could elaborate on the Business Licenses product. Could you maybe touch on just like the key problem that we're solving with the product and then thinking about what the opportunity could be going forward? And then just quickly, you might have touched on it, but any early indications on what the early retention rates look like the going back to like the early cohorts of the freemium formations customers. Thanks.
Dan Wernikoff: Yes. Yes, thanks for the questions, Jay. Maybe I'll hit the second one first because it's kind of a quick one. They look pretty similar to our prior customers, so we haven't really seen any retention dynamic that's different with those customers. And I'd say that the goal would be that over time they become a customer base that is maybe more easily monetizable post formation because they go into operation. So, that would be our hypothesis and that's actually currently looking relatively good. Business Licenses I'm extremely excited about. So one of the biggest problems that small businesses have today is when they go into operations, they start to bump against a lot of regulations and permitting requirements. And in the upfront comments I talked about, an example of, a food service company. If you think about like a complex business like a restaurant or catering that also has a food truck, or maybe they also serve liquor, I mean, if you, if you're doing that in a city, I mean, you could have up to 25 licenses required, and it's a very dynamic environment meaning that the regulations can be changing on a monthly or quarterly basis, and new requirements can be added. And not only that, all those licenses can have an expiration. And there is oftentimes that you need to share those licenses with another party or you are inspected. I mean, a great example is if you ever visit someone who's in, in like a truck driver, moving materials across state line, like they carry a big folder of all their licenses in case they get inspected. So, it's an evergreen problem. It's complex and it hits all different types of agencies that a small business doesn't want to have to communicate with. So our goal is to make that seamless, make it simple, and at the same time, it allows us to also understand more about the business and how they operate. And that data becomes incredibly important. If you think about some of the questions we need to ask to understand the licenses that are required, they are almost identical questions to everything you need to understand to make a recommendation about business insurance as an example. And so we continue to build out this unique profile of all the data of a small business, which makes the next service, they need that much easier for us to anticipate and also that much easier for them to fill in the application. So it's a big opportunity. We know it's important to our customers. We've been in that business through a partnership before and so it's a bit of a known quantity and I'm really, really excited to integrate it into our experience.
Unidentified Analyst: Thanks a lot.
Dan Wernikoff: Yes, thanks Jay.
Operator: Thank you again. [Operator Instructions] The next question will come from Fiona Hynes of Morgan Stanley. Your line is open.
Fiona Hynes: Hi, good afternoon. This is Fiona on for Elizabeth Porter. Thank you for taking the question. I wanted to ask on MyLZ. A big focal point of this call has been progress on the entire subscription ecosystem with MyLZ. And so curious, do you see an opportunity to improve conversion rates and cross sell through this offering over time? And where should we expect to see that layer into the model? And any thoughts on like, timing for that as well? Thank you.
Dan Wernikoff: Yes. So thanks for the question, Fiona. MyLZ is highly strategic for us. And again, just to go back when I joined LegalZoom, there really wasn't an experience after you formed your business. Since then, we've launched all these new subscriptions that drive more engagement, we brought them into a single, unified experience over the last quarter, and we are seeing leading indicators like, session time go up and we're starting to see some of the post formation monetization begin in some of the newer subscriptions that we're offering. So, all of that is leading to a good signal, but also very early. Like this is immaterial amount today of revenue that exists and happens post the formation event. I think as you look forward, you should start to see this in ARPU. And you should start to see this as sort of incremental to what we see in the formations flow itself. And again, it's a big opportunity, I don't want to yet share any metrics because it's early but it's a heavy focus area for us and really we're rebuilding our whole marketing motion against it.
Fiona Hynes: Great. Thank you.
Dan Wernikoff: Thank you,
Operator: Thank you. And I'm seeing no further questions in the queue. This will conclude the Q&A Session, and it will conclude today's conference call. Thank you all for participating, you may now disconnect. And have a pleasant day.